Operator: Ladies and gentlemen, thank you for standing by and welcome to the Third Quarter 2017 Earnings Conference Call. During the presentation all participants will be in a listen-only mode. Afterwards we will conduct a question-and-answer session. [Operator Instructions]. As a reminder, this conference is being recorded, Monday, October 23, 2017. I would now like to turn the conference over to Erik Staffeldt, CFO. Please go ahead, sir.
Erik Staffeldt: Good morning everyone and thanks for joining us today for our conference call for our third quarter 2017 earnings release. Participating on this call for Helix today is Owen Kratz, our CEO; Scott Sparks, our COO; Alisa Johnson, our General Counsel; and Tony Tripodo, Executive VP and Senior Advisor and myself. Hopefully, you've had an opportunity to review our press release and the related slide presentation released last night. If you do not have a copy of these materials, both can be accessed through the Investor Relations page on our website at www.helixesg.com. The press release can be accessed under the Press Releases tab, and the slide presentation can be accessed by clicking on today's webcast icon. Before we begin our prepared remarks, Alisa Johnson will make a statement regarding forward-looking information. Alisa.
Alisa Johnson: During this conference call, we anticipate making certain projections and forward-looking statements based on our current expectations. All statements in this conference call or in the associated presentation, other than statements of historical facts, are forward-looking statements and are made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Our actual future results may differ materially from our projections and forward-looking statements due to a number of and variety of factors, including those set forth in our slide 2 and in our Annual Report on Form 10-K for the year ended December 31, 2016. Also, during this call, certain non-GAAP financial disclosures may be made. In accordance with SEC rules, the final slides of our presentation materials provide a reconciliation of certain non-GAAP measures to comparable GAAP financial measures. The reconciliations, along with this presentation, the earnings press release, our Annual Report, and a replay of this broadcast, are available on our website. Owen?
Owen Kratz: Good morning everyone, we will start with slide 5 which is a high level of Q3 results. Our third quarter financial results were comparable to our second quarter results. Revenues increased by 13 million to 163 million in Q3 from 150 million in Q2 and EBITDA was 30 million in Q3 in line with Q2. Our revenue increases were driven by increased seasonal activity in robotics and the benefit of a full quarter of activity and improved rates for the Siem Helix 1 and well ops Brazil. This was offset by lower rates in the Gulf of Mexico well ops as both the Q4000 and the Q5000 worked primarily in the stock market. Our operations in the third quarter were negatively impacted by 15 days of mechanical downtime on the Well Enhancer. In addition both Q5000 and the Q4000 experienced idle time between projects. Turning to slide 6, our Well Intervention utilization was down slightly to 88% in Q3 from 90% in Q2. In the North Sea the Seawell was almost fully utilized while the Well Enhancer experienced 15 days of mechanical downtime. In the Gulf of Mexico the Q4000 utilization increased to 86% in Q3 benefiting from the completion of dry dock activities in Q2. The Q5000 was 75% utilized for the quarter experiencing idle time prior to remobilizing on the BP campaign in early September. Our Well Intervention unit benefited from a full quarter of operations and from improved financial performance of the Siem Helix 1 in Brazil as we addressed the majority of items identified during the vessel acceptance process. Our Robotics units showed slight improvement quarter-over-quarter due to normal increased activity levels during the summer months. Production facilities continued to be a steady performer operating at full rate the entire quarter. On slide 7 you will see from a balance sheet perspective our cash levels at quarter-end decreased to 337 million from 390 million at the end of Q2. We invested 37 million in capital expenditures and 13 million of scheduled debt repayment. Our net debt had increased to 147 million at quarter-end compared to 125 million in the second quarter. I will now turn the call over to Scotty for a more in depth discussion about operations. 
Scott Sparks: Thanks Owen. Moving on to slide 9, revenue in the third quarter increased to 163 million from 150 million in the second quarter. Gross profit margin increased to 13% resulting in 21 million profit up from 18 million in Q2 due to achieving good utilization across the Well Intervention fleet, increased seasonal activity, and trends in utilization in the Robotics fleet. In the North Sea intervention business both vessels had high utilization with both project undertaken requiring our unique fully integrated diver services. In the Gulf of Mexico the Q5000 had a good quarter and successfully completed work for two additional clients prior to returning to BP in early September. The Q4000 worked on projects for several clients in the quarter. In Brazil we had a strong quarter for the SH1, the vessel utilized 96% reflecting very good up time. Under our alliance with OneSubsea and Schlumberger we completed works and have contracted several works under our shared risk mechanism. I am proud to say across all business units we as expected produced strong results relating to safety performance. Slide 10 provides an overview of our Well Intervention business in the Gulf of Mexico. The Q5000 completed work with three clients in the quarter, undertaken work on four well locations performing production enhancement activities, and one well location to complete a temporary abandonment. In mid August we commenced in our contract period to complete the change out successful deepwater charge of the intervention rider system, removing IRS 2 and replacement of IRS 4. On September 3rd the vessel returned to the long-term BP contracts and immediately commenced work conducting production enhancement activities. The Q4000 had strong utilization in the quarter due to completing work with numerous clients working on 10 well locations, working mostly production enhancement activities. Working on 10 well locations in one quarter with one vessel highlights the efficiencies of our people, planning, and equipment bring to the market. This was achieved because our deck allows quick interchangeability between services and by labor in the IRS Subsea working between wells. Regarding our intervention rider systems IRS 1 is idle and as mentioned earlier IRS 4 was swapped out with IRS 2 on Q5000. During the quarter we contracted IRS 2 as a standalone rental unit commencing in November for approximately five to six months work in West Africa. The 15K jointly owned Alliance IRS system completed manufacturing and testing and was shifted to OneSubsea facility in Louisiana for final commissioning. The system is being contracted with the premier clients to undertake works this winter and was due to ship out to the client location before year-end. Manufacturing continues on -- the rise in open water abandonment module. We expect the system to be shipped to the U.S. in Q4 and it will now be operationally ready in early in 2018. Moving to slide 11, our North Sea Well Intervention business had a good quarter with both vessels experiencing high utilization on projects that fully utilize their unique integrated onboard diving services and we also worked with some new clients. The Well Enhancer worked for three clients in the quarter. The vessel completed an 11 well P&A program performing suspension works with zero downtime over the entire scope. For the next client we completed a free well production enhancement project achieving very good results. Unfortunately on the following projects we experienced 15 days of mechanical breakdown for the client relating to some of the tower handling equipment prior to completing some of the remaining scope. The Seawell also had a great quarter with 97% utilization in the period working for two clients during the quarter, all work conducted with P&A projects. Both vessels are scheduled to be utilized into November 2017. Moving to slide 12, in Brazil the Siem Helix 1 was utilized 96% and has now completed work on seven wells completing five wells in this quarter for the client. The vessel is performing very well and had minimal downtime. The vessel has continuously received very good ratings from the client provided weekly feedback data and the client continues to pay invoices timely. We have addressed almost all of the identified items from the vessel acceptance phase leading to improved financial performance. The Siem Helix 2 arrived in Brazil on September 18th clearing customs [Indiscernible] before transiting into Rio to commence regulatory inspections. The vessel is currently undergoing a client inspection phase and is commenced to mobilize in client equipment and third party services. At this time we're still targeting commercial operations towards the end of Q4. Moving on to slide 13 for the Robotics review, the Grand Canyon was fully utilized performing trenching scopes in the North Sea during the quarter. The vessel worked for most of the quarter on a long-term wind farm power cable trenching project and also completed a small flow line trenching project. Grand Canyon II had 51 days of utilization performing 16 days on various ROV support opportunities in the Gulf of Mexico and in late August the vessel commenced the long-term walk-to-work project that is expected to keep the vessel utilized until 3Q [2018] [ph]. Grand Canyon III had 50 days of utilization for a ROV support project in India. The vessel then transferred to Egypt and in early October it will commence an oil and gas trenching project. Deep Cygnus was also in Egypt and was fully utilized on a longer term ROV support project that commenced in mid-June. The project will continue for in to Q4. The market as expected continued in the Robotic side of the business however we have recently secured some good trenching projects some of which are multi-year that will lead to increased trenching utilization. Over to slide 14, I will leave this slide detail in the vessels, ROV and trenching utilization for your reference. I will now turn the call over to Erik for a discussion on the balance sheet and our 2017 outlook. 
Erik Staffeldt: Thanks Scotty. Moving to slide 16 it outlines our debt instruments and the immaturely profile. I will leave the slide for your reference and move on to slide 17. Slide 17 provides an update on key balance sheet metrics including growth in net debt levels at September 30th. Our net debt in Q3 increased 147 million from 125 million in Q2. The increase in Q3 is directly attributable to 37 million of CAPEX outflows. Our cash position at quarter-end decreased to 357 million reflecting the CAPEX outflows and pay down of 13 million of debt. Moving now to slide 19 which provides an updated outlook on 2017. Now that we are three quarters to the year we are narrowing our forecasted 2017 EBITDA range to 105 million to 115 million. We have lowered the top end of our range reflecting our year-to-date results and reduced upside potential based on a limited number of days remaining. With our contracted revenue in Q4, our biggest remaining variables are operational risk and uncontracted opportunities that we're pursuing in well ops UK and Canyon. Moving over to slide 20, our backlog of 1.7 billion at the close of Q3 continues to be heavily weighted to the BP Q5000 contract, the two Petrobras contracts and the production handling contract for the Helix Producer 1. In the Gulf of Mexico the Q5000 is back working for BP for the remainder of 2017 and into 2018. The Q4000 is currently idle but is scheduled to mobilize early November on its next contract. The vessel has contracted work into Q1. We're deploying the IRS rental system in late November with projected work into Q1. In 2017 we have benefited from the improved market activity in the North Sea Well Intervention markets. Both vessels will work into the fourth quarter before seasonal factors affect our utilization. Upon completion of their 2017 campaigns we will work stack the vessels until activation for the 2018 season. In Brazil the Siem Helix 1 is expected to have had strong utilization and Siem Helix 2 was currently expected to start contract operations towards the end of Q4. Over to slide 21, the Robotic segment will continue to benefit from the seasonal activity early into the quarter including wind farm trenching projects. Activity will taper towards the end of the quarter affected by the seasonal factors. Overall it continues to be a difficult year for robotics as Subsea infrastructure spending is weak and will likely lag in industry recovery. Over to slide 22 the CAPEX forecast for the year is approximately 245 million with most of this capital for completion is done with Siem Helix vessels and continuing construction on the Q7000 including a forecasted shipyard payment in Q4. Of the 245 million in projected CAPEX, 230 million can be classified as growth CAPEX. Our remaining debt payments for the quarter approximate $10 million. I will skip slide 24 and leave it for your reference. At this time I will turn the call back to Owen for closing comments. 
Owen Kratz: Thanks Erik. As we have discussed, the third quarter results were affected and would have been better absent the operational issues in the UK and a client in the Gulf of Mexico for the Q4000 deferring some work to the fourth quarter due to third party equipment issues. The notice of delay was too late for us to make our customary work rescheduling to avoid a gap in the utilization but things are working well in the company. The SH1 one in Brazil is seeing an improving performance and with it margin improvement. We've achieved to close out on most items identified during vessel acceptance and next year should be a much improved results. The SH2 has arrived in Brazil and is now in the inspection process with Petrobras which is proceeding smoothly. We see nothing that would indicate not meeting our current expectations of being on contract early Q4. Unfortunately we had hoped to work the vessel prior to its arrival in Brazil but in the end we felt it prudent to extend the shipyard period to better prepare and therefore mitigate any possible issues that might jeopardize the smooth acceptance in Brazil. In total based on what we know today we feel that the issues in Brazil were close to being behind us. We got off to a slow start but we're operating better and we anticipate both vessels operate in the full year and 2018. The continued weak Robotic market and the under-performance of this segment has been a challenge. The disappointing results will be somewhat self correcting as our legacy high rate charters and financial hedges roll off. Next year we will return the Deep Cygnus in April and one of the financial hedges is just rolled off. We're also seeing a significant improvement in the trenching activity which will help reverse the disappointing results from this year. For 2018 we expect broader market activity to be flat or better compared to 2017. However the market is still weak and continuing pressure on rates. As for what the path forward is for the company, from time to time we evaluate our strategic alternatives and what makes sense for our company as we feel that exercises part of fulfilling our duty to maximize value for our shareholders. We recently completed that strategic review and our conclusion was that at the time our focus should be on our balance sheet, executing operationally and expanding our profit margins. We will not be further discussing this matter on the call or answering any questions about it as it is our policy not to comment on rumors or make disclosures about future strategic transactions unless we have something right to announce. Strategically we're at the near end of our build program. The SH2 is now complete undergoing customer inspection and the Q7000 is on sea trials as we speak. We now have the preeminent fleet in the industry for non-rig Well Interventions. We continue to focus on our balance sheet and options for optimizing our liquidity. Our mid-term focus ahead will be operating and improving our profit margins. Looking forward once our capital obligations are complete we will start allocating our cash generation to reducing our net debt position and continue our aggressive principle repayment. We plan to reorganize our resources in the company from management of construction risk to focus on improving margin through our operational efficiency and creative contracting in manners that may increase the producers interest. The overall market is still challenging but Helix is in a better place now and we feel positive about our position for the future. As a final note, I would like to take this opportunity to announce this after 15 years with Helix, eight years as a member of the Board of Director including Expenses Audit and Committee Chair and seven years serving as CFO and subsequently Senior Advisor, Tony Tripodo will be retiring at the end of this year. Tony has been an invaluable member of both our Board and the Executive Management team over the years and the company has benefited immensely from his contribution and we wish him all the best in the future. Just on a personal note I'd like to say thank you to Tony. When I came back into the company as CEO in 2008 I asked Tony to join us CFO, he probably didn't think long enough about that. But following the financial collapse of 2008 we certainly went through some challenging times. We restructured the company business model, cleaned up the balance sheet, started rebuilding the company. Everything was going exceedingly well and then the oil price collapse of 2015 put us into another challenging period. So it has been some up and downs but the company is here, we've come through it well and we're positioned well for the future and to large extent that is due to Tony's contribution over the time. So with that Erik I will turn it back over. 
Erik Staffeldt: Thanks Owen. Operator at this time we will take questions. 
Operator: [Operator Instructions]. And our first question comes from the line of Ian Macpherson. Please go ahead.
Ian Macpherson: Thanks, good morning. Tony congratulations on your retirement, thanks for all the help over the years. I guess my first question Owen it sounds like there -- if I’m distilling correctly it sounds like there is improved utilization visibility for IRS systems and hopefully as well for the ROV system next year when that comes available and that's sort of mitigating what is looking to be probably a choppier utilization outlook for Q4000 this quarter and into next year. How do you see those competing dynamics sort of offsetting into kind of a net better or worse outlook for asset employment over the next year excluding Brazil?
Owen Kratz: Excluding Brazil, I think the biggest variable in there are the two vessels in the North Sea where we see continued robust utilization. I think that market is strong and we see it continuing into next year. With regard to the Q4000 I'm not -- I don't share the pessimism over the Q4000 utilization going forward. I think that Q4000 has shown itself to be the preeminent intervention vessel and every year we are able to book it. I think the challenge for us next year is in basically with pressure on rates that we've seen this year, when will that abate, that has the large -- that largely depends on the drilling market. But then there are a lot of things that we can do taking our own action. We have been experimenting with some creative contracting terms and I think that will make us more attractive to the client and achieve better margins. So I think there are things that we can do. All in all I don't see next year as being a -- like I said in my comments, I see next year being flat to an increase across the board. The big -- you mentioned the IRS rental market, we're not really seeing as robust a rental market as we did in the past. Scotty you might have a better outlook on that. 
Scott Sparks: Yeah, the rental market is more opportunistic and whilst there is rigs available in the Gulf of Mexico I think it's quite a flat market. The 15K is generating a lot of interest, our alliance system shared with Schlumberger that brings a different dynamic to the rental market. And we have already got it contracted out for the first job so I think that will lead utilization to either the Q4000 as a standalone system that there's a lot of interest there.
Ian Macpherson: Okay, that's helpful, thanks. For a follow-up question there we've seen a little bit more CapEx creep here in Brazil, it looks like another I think 7 million of the 10 million of CapEx increases attributable to that project and it looks like the deferred mobilization cost for this year has crept up a little bit as well. Could you just comment on those changes and sort of where we are in terms of the finality of these revisions for that CapEx program?
Owen Kratz: Well we are in the process of finalizing the actual accounting for the CapEx. It was sort of a sloppy year for us to keep track of. As you know we completely changed the -- last year when we ran into the issues with the SH1 acceptance in Brazil we revamped the SH2 program. We took all of the comments and issues raised by Petrobras and we created a new scope of work for the SH2 extending its time in the shipyard. Due to the rapid nature of that transition we did the best we could on estimating what that cost was going to be. I think the CapEx creep that you see is just the fact that we weren’t. You know there were some things that we just didn't have cost-ed in properly. I think you're at the end of that. We're complete with the SH2 and under acceptance right now. The only risk to that would be if we see some new issues raised by Petrobras. We've addressed all of the ones that they have raised on the SH1 but that's not to say that Petrobras they are very creative in finding ways to try and penalize you. But so far I would say that the inspection is going relatively smoothly and all of the extra time and the extra CapEx that we've spent getting prepared for the acceptance looks like it's going to pay dividends.
Ian Macpherson: I understand, thanks, Owen.
Operator: Our next question comes from the line Vaibhav Vaishnav. Please go ahead. 
Vaibhav Vaishnav: Hey, good morning and thanks for taking the question. Starting off on the Siem Helix 1 you guys mentioned that the financial profile of that vessel is improving, can we say by the end of September if that was on a fully contracted day rate or is there still a way to go?
Owen Kratz: If you dial back to April when we went on contract I believe what I said at that time was that by the end of September we will have most if not all of the [pendencies] [ph] resolved. I think we're pretty much on schedule. Now there are a few [pendencies] [ph] that are not possible for us to resolve and we'll have to carry those forward but there are very few. On the SH2 things are in better shape. But in general we're right in line with where we said we would be in April.
Vaibhav Vaishnav: Okay, so like for all intent and purposes it's fair to think the exit rate for September would be a full day rate. Thinking about the Siem Helix 2 it is undergoing acceptance testing, any feedback on that and how should we think about the timeline over there?
Owen Kratz: I can just be transparent in what Petrobras is telling us. We are trying to go through the acceptance process here in a little more measured fashion than we did on the SH1 where all of the instructors showed up at the same time. What we're doing right now is we're scheduling the different parts of the vessel to be inspected. The vessel is at the dock in Rio de Janeiro right now going through the walk on inspection phase. Right now they do have a plan to go out on the dummy well testing portion of the acceptance at the end of October here and we will see how that goes but typically that's planned for about a 30 day period.
Vaibhav Vaishnav: Got it. And I think you touched upon this in the last question but what needs to happen just think about Gulf of Mexico profitability and North Sea profitability being flat 2018 versus 2017?
Owen Kratz: What needs to happen? 
Vaibhav Vaishnav: Yeah, I think if I say it should be flat am I being too optimistic or are there like bigger things that I'm missing over there? 
Owen Kratz: No, I think going into 2018 versus this point in 2016 going into 2017 we actually have greater visibility on the amount of work that the clients are planning to do. Of course we don't come out with guidance because right now the clients are still ahead of their budgeting process. Once we get through the budgeting process we will be able to determine how much of that is real. But apples-to-apples versus this time last year we're seeing an increase in available work. That is offset somewhat by the fact that the producers realized that the market is an oversupply and therefore they're dragging their heels on commitment knowing that there is assets out there. And of course that has the associated pressure on rates. We're at the point now where we track our projects and we see how profitable they are for our clients. We're pretty confident in where our rates are and the value that we bring to the client. So hopefully the pressure on rates won't be that great but we need a little more time to properly assess that going into 2018. 
Scott Sparks: Okay, I think -- against Q4000 as well in the North Sea we have got loss of visibility against where we have the machines, we have the dive in, integrated on board the vessel where we can supply the Q5000 locked up for a good portion of the year. And also in 2017 Q4000 had this off period we just had now because of a client's third party issue and also had about 50 days of dry dock. So there is more utilization available to us for Q4000 going into 2018 as well.
Vaibhav Vaishnav: Okay, thanks for taking my question. 
Operator: Our next question comes from line of Chase Mulvehill. Please go ahead.
Chase Mulvehill: Hey, good morning. Tony congrats on the retirement, you'll be missed. So Owen I guess the first question, if we could think about 3Q and was there any kind of negative one off costs in 3Q and maybe with the thing you linked to that 14 million of mobilization cost was any of that expense? 
Owen Kratz: Yeah in Siem Helix 2 no, the mobilization cost have not been expensed, that will start once the vessel starts its contract.
Chase Mulvehill: Okay, was there any other kind of one off cost in 3Q?
Owen Kratz: Yeah in the third quarter like we said we had an unexpected dance on event with the Well Enhancer. Usually we have very upside time on both the vessels in the North Sea and we had a 15 day event on the Well Enhancer and like we said earlier we had quite a significant schedule change on Q4000 because that happened last minute due to a clients third party, we were unable to fill that slot with other works. So these two significant events in Q3.
Chase Mulvehill: Okay, and on the Q4000 you said it's idle right now but you've got some work contracted in the 1Q, what kind of utilization would you expect in the fourth quarter for the Q4000?
Owen Kratz: From November 1st to the end of year we are expected to be fully utilized and we've got a good backlog going into Q1.
Chase Mulvehill: Okay, and did I hear that the Q7000 was on sea trials, did I hear that? 
Owen Kratz: It has actually just arrived back in Singapore after sea trials I think it was day before yesterday, she arrived back in Singapore. So sea trials are over. The shipyard has a punch list now as a result of the sea trial that they need to accommodate. But that is all on the shipyard. For all intents and purposes our construction phase is complete except I will add there are -- there's a few things that we still need to put on board the vessel but we have plenty of time to do that. 
Chase Mulvehill: Okay, so still plan is just to take delivery and start marketing the vessel at year-end 2018, is that right?
Owen Kratz: Right, right, the plan right now is that we will be removing the thrusters and keeping the vessel in Singapore for 2018. Like I said we will be adding a few things to the vessel, that is not big CAPEX items and then bringing the vessel out to market in 2019, that's the current plan.
Chase Mulvehill: Okay, last one and I'll turn it back over. For the Siem Helix 2 since you didn't do any break in prior to the contract starting up later this quarter, how should we think about kind of first half 2018 utilization for this vessel?
Owen Kratz: Should be fully utilized under the Petrobras contract. We have all of the work identified, it is all being engineered now. I think the vessel is going to be fine. 
Scott Sparks: Client is mobilizing the equipment right now and all that third party services.
Chase Mulvehill: Okay, alright, I will turn it back over. Thanks.
Operator: And the next question comes from the line of Martin Malloy. Please go ahead.
Martin Malloy: Good morning. Tony enjoyed working with you over the last couple years and best of luck post Helix. 
Anthony Tripodo: Thanks Martin.
Martin Malloy: Two questions, one on the robotic segment, could you maybe talk a little bit about the outlook in 2018 and particularly the non-energy work outlook and is that where the trenching interest is coming from that you spoke about? 
Scott Sparks: Yes it is. Like Owen said earlier in the call we expect Canyon to sell itself somewhat in Q2, hedge rolling off and we can give back our most expensive vessel charter at the end of March in 2018. We have secured a quite a good backlog of trenching work, it is quite a significant amount of work, still a good trenching rates. And most of that work is wind farm, more interconnect power cable related. We're also seeing a bit of an upturn in flow line trenching but that's more 2019 onwards.
Martin Malloy: Okay, and then in the North Sea it sounds like things are a little better in terms outlook into 2018 and at the same time last year as you looked out into 2017. Is there any opportunity in that market to maybe raise pricing? 
Scott Sparks: We have slightly over this year been increasing pricing. Our pricing is up probably 10% from what it was in 2016 and because of the niche we have there with the integrated diving spreads we see a bit of a price increase but nothing major yet. Still playing procurement game with the operators at times. Certainly compared to a year ago there's a lot more visibility at getting work and there's a lot more interest in production enhancement type activities. 
Martin Malloy: Great, thank you.
Operator: And our next question comes from the line of David Smith. Please go ahead.
Unidentified Analyst : Hi, good morning and thank you. It seems like the Robotics operating costs increased by more than just the higher activity levels. I was wondering if there was anything in the quarter that sticks out that helps explain the cost increase?
Scott Sparks: No, I think David from the standpoint comparing to second quarter obviously I think we had a full quarter now of the Grand Canyon III vessel from that standpoint. And I think everything and all the other costs were routine cost as part of our projects. 
Erik Staffeldt: Look we have [indiscernible] quite expensive trends between regions, the Grand Canyon III went to India and it transferred back to Egypt and that was on our ticket and the fuel expenses and stuff that go with that.
Unidentified Analyst : That makes sense and I was wondering if you quantified the impact of the relief from as the hedge rolls off the first vessel, if you could say if that's maybe slightly more than half a million for the quarter?
Erik Staffeldt: Yes, for the quarter I would say it is in that range. 
Unidentified Analyst : Great, thank you very much.
Operator: And our next question comes from line of Haithum Nokta. Please go ahead.
Haithum Nokta: Hi, thanks for taking my question and I'll echo the congrats for Tony. I just wanted to get some thoughts on the Deep Cygnus when it rolls off, the charter and what -- how much uplift you expect from it in 2018 and then also as your currency hedges roll off do you expect a larger margin uplift from those? 
Scott Sparks: The Deep Cygnus is like we said earlier it is our most expensive charter that we have on the robotic side. And I would say it is plus 10 million to 12 million of an impact that will be removed from this year's numbers.
Haithum Nokta: Each hedge is about 4 million or 5 million I think? 
Erik Staffeldt: Yeah, the hedge has been in place for I think about four to five years from now as we've seen the devaluation compared to the Norwegian kroner. So from that perspective we're talking like we said about half a million a month or more. And we had two remaining hedges. So, the benefit that we'll see next year is on the hedge that has rolled off this year.
Owen Kratz: The other thing that is self correcting over time on the robotic side is the three chartered vessels that we had that now are chartered in absent impact of the hedges. They are chartered at higher than market rates right now. So as they will often will be able to replace them with market rate vessels then that is further upside that is self correcting over time. 
Haithum Nokta: Thanks for that and then I guess so based on those factors and the positively on the trenching outlook for 2018, do you see that being a EBITDA breakeven business in 2018?
Owen Kratz: Well, we will know more as we work through our budget and we will give you a better idea of that with the total budget.
Haithum Nokta: Okay, and then switching on to the Q4000, that will be your first -- that won't have any of the legacy backlog then based on the current spot rates what kind of utilization would you need to break even on that vessel for 2018?
Scott Sparks: Yeah, Haithum I think you're correct in that. The legacy backlog essentially rolls off in 2018. I think we have very minimal maybe a 20 day contract or so. So from that perspective it will be primarily spot rates that we have there. Given the current market you would assume that to break even you would probably need greater than 75% utilization.
Haithum Nokta: Great... 
Scott Sparks: That's spot market. 
Owen Kratz: But I think there's a lot of opportunity for us to contract through mechanisms that avoid pure spot market.
Haithum Nokta: Can you maybe expand a little bit on that Owen, I think we have talked a bit about this kind of purely through the alliance with Schlumberger or is this something that you're able to do on your own or…? 
Owen Kratz: I think of course the alliance with Schlumberger offers opportunities and I don't want to get too detailed in the type of contracting that we are planning to propose for competitive reasons. But there -- we have the longest track record by far in doing this kind of work. We understand this extremely well. We have several different contracting models that we're discussing with the producers. And I'll leave it at that. It just turns -- it is terms that I think are attractive to the producers that might incentivize them to do work or at least go with us as we look forward here.
Haithum Nokta: Fair enough, thanks. I'll turn it back.
Operator: Our next question comes from the line of Gregory Lewis. Please go ahead.
Gregory Lewis: Yes, thank you and good morning and Tony, hey, congratulations. It has been a pleasure.
Anthony Tripodo: Thanks Greg, appreciate it. 
Gregory Lewis: Owen, just following up on, I mean you alluded to it in your prepared remarks about the creative contract structures that you're looking at and you mentioned Schlumberger and the alliance, is that the process of trying to move away from a day rate and try to starting to bid these projects from a cost base, from a performance basis as opposed to the traditional day rate basis, is that what we should be thinking about or is it something different? 
Owen Kratz: I think that's a component of it, another component of it is through the alliance. Schlumberger is very big group, more integrated approach spaces. There's some pretty significant opportunities for us to bring better cost to performance execution. But then like you said there's a lot of things that if you want to know what I'm talking about you can just look at our history. Coming -- in the past we have done some very creative contracting styles that have worked out very well for us. As the market moves to a more robust market you tend to sort of kick back and just rely on your day rates because you become an order taking company. Right now this year we are going to be really focusing on reviving some of our more creative, working closer with our alliance partners, working closer with the producers and coming up with different styles of contracting that bring greater value to them and greater margins to us.
Scott Sparks: On Q4000 now we have Schlumberger's equipment installed on the vessel so they're going through the process now of integrating their own teams and once they have freed up space we will then be able to integrate our teams further and reduce the overall numbers on the vessel, staffing numbers on the vessel. And whilst their equipment is fully onboard we therefore then have high mobilization and demobilization cost of those services. And whenever we are right we don't pay for that equipment either. There is some benefits that the alliance will be bringing to us now.
Gregory Lewis: Okay great that sounds really good. And then just on -- just realizing we're not going to get into a pricing conversation here but as we think about the deployment of the IRS system, the legacy now the new 15K IRS, as we think about maybe like a return hurdle for you have the asset sitting on land, to bring it out, is there some sort of minimum utilization, how do you think about the decision to deploy those units as opposed to just letting them stay on shore?
Erik Staffeldt: I think Greg from that standpoint I think the cost of mobilizing and deploying or maintaining the equipment is not very significant and so it's a situation where we expect when there's an opportunity to deploy for customers it would be an easy decision to make. There's no benefit to leaving these systems up the beach so to speak. I think the maintenance of them, they're maintained, ready to go, ready to be deployed. I don’t know if Scotty if you want to add to that. 
Scott Sparks: Yeah they are ready for to be deployed. They're also you know the clients when they pay for rents, they pay from it leaving our facility, going out being tested and mobilized on to whichever rig they put it on and they pay for the comeback. And they also pay for any repairs or maintenance that is required afterwards. So it's quite an easy decision to put those systems up. The rates we're seeing right now are the same sort of legacy rates we always got for those systems and if anything we see increased rates for the fact that the 15K will be able to handle high temperature, high pressure in the market.
Gregory Lewis: Okay, perfect. Thank you very much for the time. 
Operator: [Operator Instructions]. And our next question comes from the line of Joe Gibney. Please go ahead.
Joe Gibney: Thanks, good morning guys. Just a quick question on the North Sea, I know this year was a bit average in terms of timeframe for work starting up, that going as early as February for couple of these assets. So, Well Enhancer, Seawell potentially move into warm stack, just you seem to be espousing a reasonable amount of visibility into next year in the North Sea, but is it more of a typical pickup then given that potential move to warm stack or it's more of a very late 1Q kind of timeframe for work to pick up there or really more of a 2Q run rate, just trying to get a sense of what customer indications are, some of the things you have lined up for those vessels in the North Sea given the potential for warm stack near-term?
Scott Sparks: The fact that we have warm stack it means that they can be activated very quickly, we are talking two to three days to be able to put the vessel back to the market. The reason for the warm stack is primarily seasonal. The winters in the North Sea are very rough and clients at this time aren’t really going to spend money on whatever is risk free for that period. So, we see the vessels back into Q1 and right now there is some visibility at work in Q1 that is going to be around sort of end of Q1 early Q2 when I expect the vessels to go back to work. 
Joe Gibney: Okay, that's helpful. 
Erik Staffeldt: And when they don’t come to the table we are ready to get it very quickly.
Joe Gibney: Okay, and just certainly back to robotics, just trying to understand what you are indicating here for fourth quarter, your guidance at least the midpoint revenue wise that sort of indicate a flat top quarter sort of a bit counterintuitive coming off of seasonal utilization. Just trying to rationalize that and then in terms of the sort of the magnitude of trenching and thinking about mix, understand the self correcting aspects of profitability there you guys have described here, but trenching sort of ballpark kind of 25% of the mix or so in terms of non-oil and gas work so is that amplifying significantly given some of these long-term contracts you're referencing into next year that they're going to shift to that mix a little bit more and all of those in conjunction are going to sort of maybe create a path where we get closer towards profitability again just to help me a little bit with 4Q and the outlook there? 
Erik Staffeldt: The reason why 4Q is expected and 3Q is primarily two of the vessels will be working on trenching projects. Our trenching projects create about nearly three times of what we could get in the construction or IRM model. We are still holding very good rates for jet trench and even better rates for mechanical cutting. Next year there is a significant increase in trenching year-on-year and a good portion of those rates would be based on mechanical cutting which commands the highest rates that we can get through trenching. I would say probably 30% to 40% of the vessel utilization next year will all be trenching related. 
Joe Gibney: Okay, that's helpful. 
Erik Staffeldt: And also going into Q4 we've locked up the Grand Canyon II with a client that will take it through to the end of Q1. So we haven't got any utilization risk for that vessel through the winter period as well. 
Joe Gibney: Okay, and the existing IRS system, the contract that you referenced that deploys late 2017 or early 2018, did you indicate the duration of that contract, is it short-term work or I wasn’t sure if you disclosed that? 
Erik Staffeldt: Right now it is one well of work but there's an option to do three wells so it's sort of 30 to 90 days of work. 
Joe Gibney: Okay, that's helpful. Okay, thank you, that's it for me. Kind regards to you Tony, certainly appreciate it and enjoyed working with you. 
Anthony Tripodo: Yes, sure Joe, appreciate the sentiments.
Operator: Our next question comes from the line of Matt Dane [ph]. Please go ahead.
Unidentified Analyst : Great, thank you. I was curious, looking out at 2018 now what color can you add around discussions with potential customers and quoting activity that you're seeing at this point in time versus a year ago, is there anything you can add around that?
Erik Staffeldt: Just like we've said in all regions we're seeing increased visibility to work, certainly seeing a lot more production enhancement type activity. I think if you go back couple of years ago about 40% of our work was production enhancement activity, the rest was P&A type work or abandonment activities. If you look at the fleet right now the Q4000, nearly all the work it is doing is production enhancement activity. Q5000 is all enhancement activity. All of the work that Well Enhancer did in the last two quarters has been enhancement type activity so I think the fact that the price of oil has increased is leading the clients to going back to that model of getting more out of their wells.
Unidentified Analyst : Okay, and was there any impact from the hurricane that went through the Gulf here in the third quarter at all on you folks? 
Erik Staffeldt: No, nothing that we are seeing there. 
Unidentified Analyst : Okay, okay great. I appreciate it and all the best to you Tony as you move on to the next stage in your life here.
Operator: And our next question is a follow up question from the line of Vaibhav Vaishnav. Please go ahead.
Vaibhav Vaishnav: Hey, thanks for putting me back in queue. Just a quick question on Siem Helix 2, there were concerns that the date on Siem Helix 2 could be renegotiated down. It seems like if there is any update on that and I would think if there were to be any date introduction they would have been brought up by now, just if you could please update anything on that.
Owen Kratz: No, you are correct, there has been no discussions on reduction of day rigs at all with either vessel. The day rates are where they were contracted. We did negotiate the first vessels down in 2015 I believe. 
Erik Staffeldt: We signed the amendment in June of 2016. 
Owen Kratz: But the rate on the SH2 has never been adjusted and there is no discussions on any rig reductions. 
Vaibhav Vaishnav: Alright, that's all from me. And I would miss it if I didn’t say it, Tony it has been a pleasure working with you and good luck.
Operator: And there are no further questions at this time.
Erik Staffeldt: Okay, thanks for joining us today. We very much appreciate your interest and participation and look forward to having you on our fourth quarter 2017 call in February. Thank you.